Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to the Sherritt International First Quarter 2021 Results Conference Call and Webcast. [Operator Instructions] I would like to remind everyone that this conference call is being recorded today, Thursday, April 29, 2021, at 10 a.m. Eastern Standard Time. I will now turn the presentation over to Joe Racanelli, Director of Investor Relations. Please go ahead. 
Joe Racanelli: Good morning, everyone. And thank you for joining us today. With me are David Pathe, Sherritt's CEO; Nathan Reeve, our Interim CFO; and Steve Wood, Sherritt's Chief Operating Officer. Before turning the call over to management, I want to bring a couple of items to everyone's attention. We did release our Q1 financial results last night, and the full package of MD&A, financial statements and press release are available on our website as well as on SEDAR. We will be making use of a presentation today. A copy of it is available from our website. And we will also be making forward-looking statements under safe harbor provisions. The full list of risks and uncertainties are spelled out in our A-F which we filed in March, and also highlighted in our presentation. At the end of management presentation, we will have a Q&A session and will be available for any follow-up discussions. David, please go ahead.
David Pathe: Right, well thank you, Joe. Good morning, everybody. It seems we are coming out again here with our quarterly results at a very busy time. So, thank you, everyone, for taking some time to join us this morning. A very strong quarter for us, as you will see from the results this morning. Very good production numbers out of Moa, both nickel and cobalt. And strong pricing resulted in our highest quarterly EBITDA in almost three years. A few other highlights, just on the first slide there, before I turn it over to Steve to give you a bit of an operational update and to Nathan for a few financial things we want to share with you, as we typically do. We did see distributions start out of the Moa Joint Venture for 2021, receiving $5 million there, and Nathan will give you a little more context on what we're expecting going forward on that. We continue to look for opportunities to make incremental improvements to our balance sheet, buying back a few million dollars’ worth of bonds at a discount, and we will look to be opportunistic on that. And we did see some collections in our Cuban overdue receivables. That, as we had talked about a few weeks ago when we announced Q4, is a bit choppy at the beginning of the year here as we sort out a number of different issues around COVID and around U.S. sanctions and the unification of the two currencies in Cuba. But we'll give you a bit more context around that, as well. But overall, a very good start to the year that we expect to be able to build on over the course of the year. I will come back at the end, as I usually do, and talk about nickel markets and a couple of other matters. But for now, I'm going to ask Steve to come on the line and give an operational update. 
Steve Wood: Okay, thanks Dave. And good morning everybody. I'll start my discussion this morning, as we normally do in our internal meetings, with a safety share. As discussed in previous quarters, we continue to devote considerable effort to fostering a strong health and safety culture. This has resulted in Sherritt regularly ranking in the best quartile of safety results for our peer group. And we continued that in the first quarter of this year, where we had a total recordable injury rate of 0.17 and a lost time injury frequency rate of 0.10. And these compared to 0.26 and 0.09, respectively, for the same period of last year. And in fact, both numbers have decreased in the order of 50% over the last three years, and we're very proud of that and think that that's a significant accomplishment.  On to Slide 5 now, I'd like to point out that as committed as we are to employee health and safety, we're equally focused on ESG matters. For example, one initiative that we recently launched relates to our commitment to reducing carbon emissions. In 2002, we identified a number of opportunities to increase the use of renewable energy at Moa, including the use of electric vehicles. To date, we've integrated two electric vehicle vans into our fleet of transportation equipment, and we expect to double the number of EV vans this year. We're also looking to replace diesel-powered land cruisers with similar EV light trucks. The electrification of our equipment is still at an early stage but is indicative of the commitment we have to reduce our carbon footprint. Now I'll turn to Slide 6 and discuss our production results from the Moa JV. On a 50% basis, the Moa JV produced 4,188 tonnes of finished nickel and 477 tonnes of finished cobalt in the first quarter. And these totals represent increases of 9% and 19%, respectively, from the same period of last year. The growth was attributable to a number of factors. Most notably, we increased our mixed sulphides availability and improved refinery reliability relative to last year. If you recall, mixed sulphides delivery to the refinery in Fort Saskatchewan were disrupted in the first quarter of last year because of rail blockades in Canada and delays in shipping from Moa due to the inclement weather there. In addition to these factors, cobalt production also grew in Q1 of this year due to higher cobalt-to-nickel ratio in the mixed sulphides feed. I should point out that production in the second quarter of this year will be impacted by our full facility shutdown that we have planned to last approximately 11 days. This full shutdown is now done every six years, whereas previously the interval was five years. And we've been able to extend the interval because of some good work that we've done in the areas of asset management and operational excellence. This planned maintenance shutdown was taken into account when we issued our guidance for the year. I'll move on to the next slide, Slide Number 7, and talk about unit costs at the Moa JV. MPR, or our mining, processing and refining, costs declined 5% in the first quarter relative to last year. The decline was largely driven by a reduction in labor and third-party service costs. The decline was partially offset, however, by the significant increase in input costs. In particular, sulphur costs were up 24%, while fuel prices climbed 32% over the same period last year. Another factor that offset the decline of labor costs was the purchase sulphuric acid in advance of an asset plant shutdown planned for the second quarter due to maintenance work. Turning to net direct cash cost, NDCC was $3.83 a pound sold, and that's down 12% from the $4.33 of the first quarter of last year. The improvement was driven by lower MPR costs, but also due to the 33% increase in cobalt by-product credits as a result of higher realized prices in the first quarter. Now I’ll turn the Oil and Gas business on Slide 8. And as we discussed previously, our sole production-sharing contract at PE/Yumuri expired on March 19. And this development, combined with the maturing oil fields, resulted in a decrease of oil production in Cuba for the quarter of 33%, to 2,202 barrels, on a gross working interest basis. As a result of the expiration of the PSC, or production-sharing contract, we do not anticipate any near-term oil production in Cuba without an earn-in partner or new drilling activities. I should remind everyone of our intention to make no further investments in the Oil and Gas business without an earn-in partner. And despite a drop in production, the unit cost in the first quarter declined by 24% from last year, and the decline was principally due to lower labor costs and third-party service costs. The lower costs were driven also by the effects of the currency unification efforts launched at the start of the year, and Nathan will explain a bit more on this government-led initiative in his remarks. I should point out that as a result of the expiration of the PSC, or production-sharing contract, we will no longer be reporting Oil and Gas results for the balance of 2021. Now I'll turn to the Slide 9 and discuss our Power division, where we produced 95 gigawatts of electricity in the first quarter. That's down 38% from last year, when we produced 153 gigawatts in the first quarter. The decrease relative to last year was driven by the scheduling of maintenance activities that had been previously deferred. These maintenance activities were concentrated on a turbine at the power production facility in Boca de Jaruco, and repairs have since been completed and power production has resumed.  Unit operating costs in the first quarter were CAD 25.89, that's up 78% from the CAD 14.57 for last year. And the increase was due to lower production, but offset partially by lower labor and third-party costs.  On to Slide 10 now. I'd like to discuss our Technologies business, which is based in Fort Saskatchewan, and it provides considerable opportunities for growth. In 2021 and beyond, we'll be focused on further developing and commercializing the innovative work underway in Technologies. I thought it would be helpful to provide an update on a couple of streams of work underway at Technologies as examples of the opportunities in front of us. First, we've further developed our patented technology for upgrading bitumen. So, it now results in a full upgrading. In simple terms, it now means that oil producers using this technology will be able to transport bitumen to downstream markets more economically and without the use of diluent and, thereby, reducing costs and increasing pipeline capacity. It also significantly reduces emissions and virtually eliminates the coking waste produced by current upgrading methods. Our next step is to work on a demonstration plan in collaboration with a bitumen producer. Other projects of interest are focused on improving metals extraction processes with reduced costs and environmental impacts. For example, we're currently developing a hydrometallurgical process for high-arsenic copper concentrates that will render the arsenic inert, while reducing emissions, when compared to current processes. Such projects will enable mining projects to meet electrification trend for many years. And we'll continue to provide updates on this exciting work and other projects in the quarters ahead.  That concludes my remarks on our operational performance. So, I'll now turn it over to Nathan for discussion on our financial results. Nathan? 
Nathan Reeve: Thank you, Steve, and good morning, everyone. I’m on Slide 12. I would like to begin my remarks with a discussion of our cash position. At March 31, 2021, our cash and short-term investments tolled $158.3 million, down from $167.4 million at the start of the year. As you can see from the cash waterfall on this slide, our cash position was impacted by a number of developments in the quarter. Chief among them was the use of CAD 3.3 million towards the repurchase of second-lien notes, with a principal value of CAD 5 million; the use of CAD 1.3 million towards capital expenditures; and the cash outflow of CAD 11.3 million from operating activities. The cash outflow from operating activities was primarily driven by changes in working capital and seasonal factors, including a build of fertilizer inventory ahead of the spring planting season and reduced fertilizer pre-buys ahead of the planting season when compared to the same period last year. The amount of that impact was about CAD 5 million less in pre-buys in Q1 2021. Concurrent with the spring season, we do expect higher collections in Q2. In fact, just those [indiscernible] slightly, at CAD 74.4 million, at the end of Q1, compared to CAD 75 million at the start of the year. Moving to Slide 13. We continue to be focused on reducing administrative costs. Consistent with our efforts to strengthen our balance sheet and preserve our liquidity, we took steps to reduce administrative expenses by CAD 1.5 million in Q1 2021, as shown on Slide 13. The cost savings were primarily driven by lower salaries and reduced legal expenses relative to the same period of last year. While it's unlikely we'll see the same amount of savings every period of 2021, cost-saving measures remain in effect, and we will maintain a close watch on administrative expenses, going forward. Moving to Slide 14. As David noted in his opening remarks, we experienced variability in our collections against overdue amounts owed to us by our Cuban partners in Q1. We received a total of US$5.7 million in payments in the quarter, which was below the amount expected of $14 million.  Cuban collections in Q1 were impacted by a number of factors, including Cuba's limited access to foreign currency on account of the COVID-19 pandemic; the continued effects of U.S. economic sanctions against the country; and Cuba's efforts to unify its currencies, and I'll provide more color on that point in the next slide. Since the start of Q2, we have received $4.8 million in energy payments and have received all amounts expected for Oil and Gas receivables. For our Power receivables, we continue to work with our Cuban partners to improve collections and ensure timely receipt of expected payments. I'll provide some further color on this point when I talk about Moa Joint Venture distributions. Despite these ongoing discussions and collection efforts, we expect collections to be variable through to the end of the year. Moving to Slide 15. In our Q4 results conference call, I mentioned how the Cuban government began a process to unify its currencies, consistent with economic reforms it previously announced. Given how currency unification efforts favorably impacted labor costs in Q1, but adversely affected our ability to collect overdue amounts owed to our aspired Cuban partners, I'd like to spend a couple of minutes reviewing how the unification process is unfolding and what we can expect in the near term.  As many of you know, Cuba had two currencies until December 31, 2020. The convertible currency, or CUC, was used by travelers and foreign businesses and was pegged against the U.S. dollar on a one-to-one basis. This currency was unified with the CUP, or Cuban peso, the local currency, which is effective January 1, 2021. The CUP is now Cuba's only official currency, and its exchange rate against the U.S. currency will be CUP 24 for every American dollar. The rationale for the currency unification was to support economic reforms launched by the country; harmonize wages throughout Cuba, particularly for individuals not involved in the tourism industry; and improve the valuation of Cuba's export goods.  While a transition period is underway through June, whereby CUCs are being converted into CUPs, we continue to see no impact to the cash held at Energas or amounts owed to us by our Cuban partners. All payments made to Sherritt will continue to be denominated in U.S. currency, including distributions from the Moa Joint Venture. The only real impact that we may see in the near term relates to the timing of receipts against overdue amounts owed to us. While amounts owed to us won't be devalued or lessened by the currency unification process, payments will likely vary month-to-month in the near term, as we witnessed in Q1. As mentioned, the unification process did have a positive impact for our local operations by reducing labor costs as well as third-party service costs in Q1. We will continue to monitor this development, but expect this trend to continue in the near term. We have received assurances from our Cuban partners that we will not be any worse off as a result of the unification, and the long-term impact may be to the benefit of local operations. Moving to Slide 16. Largely as a result of improved market conditions and strong sales volume, the Moa Joint Venture distributed $10 million in Q1 on a 100% basis, of which we received our 50% share, or US$5 million. As you can see from slide, distributions received in Q1 were below amounts we received in the same period of last year. In addition, unlike Q4 of 2020, we did not receive any redirected amounts from GNC, our Moa Joint Venture partner, in Q1. Allow me to put some of this into perspective. The Moa Joint Venture board decides on amounts to be distributed to each partner on a quarterly basis. Factors that go into the decision-making process include: available cash, prevailing commodity prices, operational performance and costs and planned capital spend. A higher available cash balance at the end of 2019 is why we received a higher distribution in Q1 2020 relative to Q1 2021. The lower balance at the start of 2021 was in part driven by the significant distributions in Q4 2020 compared to Q4 2019, as you can see on the slide.  Given prevailing nickel and cobalt prices and Moa Joint Venture liquidity requirements, we anticipate Moa Joint Venture distributions through the course of 2021. Just as important, we also anticipate the receipt of redirected amounts from GNC. We are currently in discussions with our Cuban partners to determine the amount and timing of these distributions. The Moa JV has been a dependable distributor of cash over the years. Just since the start of 2019, it has distributed US$135 million of cash on a 100% basis. Given its recent performance and the current outlook for nickel and cobalt prices, we expect this track record of success to continue.  That concludes my remarks. I will now turn the call back to David for his concluding comments. 
David Pathe: Thank you, Nathan. I want to talk a little bit about nickel markets here on Slide 18 and 19, provide you a little context of what was happening in the quarter there. And then we'll take your questions. Carrying on from what we talked about in Q4 in terms of the good start to the year we've had from commodity prices picking up on where 2020 ended, that continues, as you can see on the chart on Page 18 there. Cobalt has continued to perform well. It's up 40-odd percent this year. And our analyst expectations for the next couple of years continue to grow. People are now talking about $30, $32 cobalt in the next couple of years, and we're obviously seeing the benefit of that in our NDCC already.  There are a number of factors that are driving that as markets come back that were pretty hard hit for cobalt, beyond the battery sector, that were pretty hard hit by the pandemic, including aerospace, and in some cases, the hospitality industry, which is still somewhat down, but we're beginning to see the orders pick up there again. Now some of that is now starting to come back. Cobalt is still a growing product in batteries, despite the ongoing efforts to engineer down the amount of cobalt in a battery by volume. We are still seeing that demand increase and see it as unlikely that cobalt is ever going to be completely eliminated from batteries given the unique thermodynamic properties of cobalt that it brings to a battery and the stability it brings to a battery. So cobalt demand seems to be finding its feet again, and that has obviously been helpful to us from a cost and a cash perspective. Nickel prices had a very strong second half to the year, and we saw the benefit of that in our fourth quarter distributions from the Moa joint venture. It started out the year well, but it did take a – it got up as high as I think it was pushing $9 towards the end of February, but has since fallen off a little bit, a bit of a retrenchment I think based on the run-up. There was also an announcement from Tsingshan in China about their intentions to start trying to make an intermediary product that could subsequently be processed into a battery-amenable form of nickel out of Indonesia. And so, we've had quite a number of questions about that. So, I'm going to just talk a bit about that and give you a little context around that.  Nickel today, though, is still about $7.80, $7.90, I think. And to put that into perspective, this time last year the nickel price was $5.50 an ounce. So much better position than we were 12 months ago. Page 19, we can see a few comments on Tsingshan. Let me just kind of tell you a couple of comments. Because when the news came out, it was seen as quite a revolution, and I think it's somewhat – because the nickel market had performed pretty well, to some extent it spooked the market, and we saw some retrenchment in the price. It has since stabilized and rebuilding a bit, and I think that is as people have kind of adopted to the news and have come to understand what it actually means or doesn't mean, that there's some perspective gaining on that. But let me make a few comments on that. The first is the process that they announced, that they're going to try and deploy in terms of taking nickel pig iron and then further processing it into a nickel matte, an intermediary product, is not new. I think when this first came out, this was touted as a technological process and breakthrough. The fact is that process has been around for quite some time. It's been used by others in New Caledonia. When we were – those of you who have been around a while will remember when we were looking at opportunities in Sulawesi eight or 10 years ago, this process to go to a matte was one of the options we explored for refining in Indonesia ourselves. Second, it's a very carbon-intensive process. Making nickel pig iron already is, in terms of putting either rod laterite ore into furnaces and processing then to NPI, is a carbon-intensive process. Further processing that NPI means another round in the furnaces, and burning sulphur to get further reactions through a biometallurgical process compared to the hydrometallurgical process that we use is energy-intensive emissions-intensive, particularly when you're using coal to generate the electricity to fire the furnaces. From an economic perspective, it is more challenging from a cost perspective, ultimately, depending obviously on your pricing power. But the biometallurgical process destroys the byproducts, when we capture a significant cobalt by-product benefit drives, and you're all familiar with the impact that that has on our indirect cash cost by being able to produce a significant amount of cobalt, as well. The ability to capture and produce byproducts through this biometallurgical process is lost. And in terms of the economics of it, I think there's still work to be done to actually figure out what the capital spend and the operating costs of this are actually going to look like. But because there's already a market for nickel pig iron and people getting paid for the contained nickel in nickel pig iron, it really only works in terms of the incremental capital and incremental operating expense if there's a gap between the realized price for nickel contained in the nickel pig iron and the ferrite nickel products compared to what you can realize on a matte. We did see over the course of last year, as nickel prices began to run, a bigger gap opening up between LME-grade Class 1 nickel and nickel contained in iron-type products, like NPI and ferronickel. They were trading at a bigger discount to LME than they have in the past as the LME price ran. But I think for this process to be economically viable in the long term that gap has to continue to exist. Otherwise, the incremental capital and operating cost to process NPI into the matte won't be justified by the incremental revenue from selling the NPI to selling the matte. Lastly, and this is more a capacity issue that the process itself doesn't really solve, and there's sort of two aspects to this. One, there isn't a lot of refining capacity in the world at the moment that can take a nickel matte and further process it into a sulphate or some other battery-amenable form of nickel. Not that that couldn't be done, but that is incremental capital again and incremental time to do that. And lastly in terms of capacity, it doesn't create more nickel as a whole. The nickel pig iron coming out of Indonesia at the moment is all accounted for as part of the global nickel supply, for which demand is forecast to tighten up for a few years. Being able to process nickel pig iron into a matte and ultimately potentially into some other form of nickel does shift the supply from one column to another, but it doesn't do anything to create incremental new nickel supply in the aggregate. And obviously, that can be done, but that takes additional capital as well. So, I think this is a development in the nickel market and will have people that we are aware of and we'll continue to watch. As nickel demand continues to grow for electric vehicles and if the price is continuing to climb, as people expect, some of these options may be more economic in terms of meeting the future demand of nickel that we all are expecting in the auto industry. But I thought it was important to give you a little context around what the impacts of that announcement actually were and how we view it, as it is a subject that garnered quite a bit of interest in the nickel market and quite a number of questions from our shareholders over the last few weeks. Overall, in terms of looking at what's going on in markets and looking forward, we had talked at the beginning of the year about how it could be a volatile year. Some of those risks still exist as the pandemic continues to unfold. There are obviously a few more chapters in that story to be written yet. But we have seen more confidence amongst analysts of what the year is going to look like. Wood Mackenzie is now talking about nickel prices remaining around the $7.50 mark for the balance of the year. And in the last few days, we've actually seen some aggressive movement up through that. We'll see whether that's sustainable, but I think we will continue to see nickel prices moving up and down a bit depending on very short-term sentiment. I mentioned earlier the growing optimism about where cobalt prices are going in the next couple of years now. [Indiscernible] cobalt from between here and 2023. Still all this long-term interest in both cobalt and nickel is driven primarily by renewed interest in electric vehicles and the announcements that we've talked about for the last couple of years, continuing commitments being delivered upon. Demand for electric vehicles continues to grow, consistent with the forecasts despite the economic interruption of the pandemic. General Motors, for example, just recently announced it's planning to spend $27 billion in the next five years. So, ramping up its EV production and to have the majority of its fleet by 2035. And importantly, as well, while there is lots of discussion of different battery chemistries, nickel remains the dominant metal in cathodes in the battery chemistries that are being adopted today by automakers. And as we've talked about many times, our Class 1 nickel production, we see ourselves as very well positioned to take advantage of that. It's still true to me that to meet the Class 1 nickel demand that the world anticipates needing for electric vehicles in the next five or 10 years is going to require significant capital investment in the nickel industry. And to make a lot of that capital work, it's going to still take a nickel price north of where we are today. So that's what I wanted to tell you about in nickel and cobalt markets. I guess just to sum up, we've talked about our strong production in the quarter. Steve mentioned that we are going to have a more significant annual shutdown in June of this year that will impact Q2 production somewhat, but that is built into our guidance for the year, and we're well on track to achieve our guidance, with a strong start to the year in Q1. No other changes to our guidance. Steve talked a little bit as well about some of the different drivers that are at play in our net direct cash cost. Obviously, growing, elevating cobalt prices helps us on the by-product credit, but we're also seeing cost pressures on input commodities, and how those two moves in relation to one another will determine how our costs unfold. Cuban collections, continues to be an issue for us, and Nathan expanded on that somewhat. And Cuba continues to have a difficult time, with having lost their tourism season this past winter and no real relief from U.S. sanctions yet. And ongoing issues of the pandemic they're addressing have left them tight for cash. And we are seeing cash flow come out, nonetheless, and continue to work with our partners in what that cash flow profile is going to look like over the course of this year. With that, operator, is what we wanted to tell everyone about this morning. And if you're ready now, we're happy to take any questions that anybody might have.
Operator: [Operator Instructions] And your first question comes from the line of Don DeMarco. [National Bank Financial]
Don DeMarco: Nathan, I'm just looking at Slide 15, Unification of Cuban currencies, and I see the Impacts to Sherritt says, "All payments denominated in U.S. dollars." Does this suggest that if there is inflation in that unified currency that Sherritt is adequately insulated from that?
Nathan Reeve: Good morning, Don. Sorry, could you repeat the question, please?
Don DeMarco: Okay. Sure. Yes, happy to. I'm just looking at Slide 15, the Unification of Cuban currencies, and I see that it says all payments are denominated in U.S. dollars. Does this suggest that if there's inflation in that unified currency that Sherritt is not exposed to any of that inflation?
Nathan Reeve: Yes, that’s correct, Don.
Don DeMarco: Okay. Thank you. And now are you seeing any signs of the U.S. administration warming up to Cuba? Or what do you anticipate might be the benefits, as expected, when the Biden administration rolls out their Cuban policy?
David Pathe: I can give a little context around that. I mean, obviously, it's all sort of speculation somewhat. But certainly, during the election campaign, the Biden administration had talked about reverting back to more of an Obama-era type of policy towards Cuba. You'll recall back in the final years of the Obama administration, Obama actually traveled to Cuba. Obama made quite a number of easing of various things in terms of from Americans traveling to Cuba to sending money to Cuba, making it easier for people to do business in Cuba. In fact, Obama did about as much as he could unilaterally without getting the actual embargo or the Helms-Burton legislation repealed by Congress that the Republican Congress didn't have much interest in doing. Under Trump, we saw all of that reversed. In fact, there was something like 200 separate instances over the four years of the Trump administration of them tightening sanctions on Cuba, including the implementation of Title III, severe restrictions on Americans sending cash to family in Cuba, they put Cuba back on the state sponsorship of terrorism list as mentioned more difficult for financial institutions to engage in Cuba and related transactions and we have to navigate all of that over the last few years. What we've been hearing both from the Cubans and from the Canadian government in the interactions that they've had with the American government is that, hopefully, what they're going to do relatively early on is at least make a couple of gestures in terms of easing the restrictions on sending money to family and the restrictions on the Americans being able to travel to Cuba to visit the family. The state sponsorship of terrorism designation complicates things, in that there's quite a sophisticated, elaborate process that needs to be gone through to review and repeal that again. And the Trump administration put that just in the last week or two of the Trump administration. The other challenge I think we have in terms of trying to predict when all this is going to happen is just at what point does this actually become a priority for the Biden administration. What we've kind of heard is that, yes, they intend to do it, but it's kind of not at the top of their to-do list just yet as they deal with the pandemic, deal with their infrastructure bill and immigration crisis in the southern border and China and Iran and climate change. But we are expecting, in time, that we will see it, probably starting with some of the things on remittances and travel to U.S. – travel by Americans to Cuba and then some of the other sanctions that were put in place by the Trump administration over the four years, all of which cumulatively have the effect of choking off Cuban sources of hard currency, which obviously flows through to an impact on us in terms of their ability to service their hard currency payables to us. So, we do still expect, in time, that we will see some reversion back to historic policies on that, which will obviously be beneficial to Cuba and that will ease the restrictions and make it easier for them to access hard currency and the imports they need. And that will then have a knock-on effect to us in terms of the liquidity being available in the Cuban system for us to see more in some of the intentions that the Cubans had with us in 2019 and 2020 before being hit with the pandemic and all these sanctions in terms of paying down that overdue receivable balance. Because the timing of that is up in the air and the evolution of the pandemic is so up in the air, it leaves us with less clarity as to what the exact timing of closing on the receivables are going to look like this year. In all the conversations we've had, the Cubans have been very candid in terms of the position that they are in and their attention to see us repaid, but they've obviously got competing priorities down there as well for the pretty scarce dollars at the moment. And we continue to work through with them the levers we have in terms of the FX transactions between Moa and Energas and the [indiscernible] generating capacity of Moa to find ways to make sure that we'll see some cash flow there this year. But there are a number of different factors at play there, including the U.S.-Cuban relationship that you were asking about. I hope that's useful content.
Don DeMarco: Okay. Thank you. Yes. Very useful. So, the timing is uncertain, but there's reason to be encouraged, and it's just a question of when they're going to really prioritize it.
David Pathe: Yes. I think just the issue is that Cuba, from an American economy perspective, is not of an order of magnitude of some of the other things they want to deal with first, which kind of makes sense. 
Don DeMarco: Okay. So maybe just as a final question, what is the annual budget of your bitumen upgrading project, just to give us a sense of magnitude? And are you expecting any catalysts on this project in the next year?
David Pathe: So, the annual budget is not significant. It's part of our – done within our Technologies group, which I think there's actually more disclosure on in this year's MD&A, as we've broken it out as an operating segment. It's all captured in that annual spend in our Technologies group as a whole. The catalyst there will be, and I don't have a sense of timing yet, but we've obviously run tests on different sources of bitumen with different bitumen providers, and we've been talking to different bitumen providers. The catalyst there, which we're working towards, ideally would be from our perspective partnering with one of those bitumen producers to build a pilot plant of, call it, 1,000 barrels a day or something to demonstrate the viability of the process on a commercial scale. The conversations we've had to date, we are quite encouraged by the results. And so that's what we'll be focusing on in 2021, is to try and put something together, some way of financing a demonstration plant or a pilot plant or whatever you want to call it that would then be the precedent step to a [indiscernible] commercialization.
Don DeMarco: Okay. Thank you for that. That’s all for me.
Operator: And your next question comes from the line of Tony Robson. [Global Mining]
Tony Robson: Good morning. Thank you for the presentation and thank you for taking my question. Going from the macro level to micro, I apologize for these small accounting questions, the 11 shutdown at [indiscernible] extensive, I guess, will that be capitalized? We'll see it as a CapEx item? Or will that be run through the P&L? That was the first question. Second question was, was a comment about there will essentially be no further releases in terms of the finance for oil and gas. You were spending about $2 million per quarter on admin. Is there still some residual holding costs there for oil and gas, please. Thank you.
David Pathe: I'll tackle some of that, Tony. And if Nathan has anything to add or if we have any other detail that we can share with you afterwards on that, we can do that. So, the costs of the shutdown are all built in, Tony, the reality is there's a variety of tasks, some big, some small, that all get done in the course of the shutdown. Some of the longer shutdown that gets done every five year, now six years does involve some of the pressure vessels that need to be inspected and changed out. And so, it is a bit more significant from a cost perspective as well as a time perspective. And elements of it are expensed as made, and some of them are capital, depending on each of the individual activities that comprise the total scope of work for the shutdown. But to the extent they are to be expensed, that is captured in our NDCC and MPR estimates. To the extent that there are elements that are capitalized, it is captured in our capital budget guidance for the year. And so, you'll see all of that and some of the variation that happens from quarter-to-quarter. And our capital spending at the Moa JV is driven by the time of shutdowns and the time of equipment deliveries and some of that. And so, I suspect that you should expect to see some of that in Q2. So, you're going to have to remind me what your second question was.
Tony Robson: Just holding costs for oil and gas. Your admin expenses, for example, were running about 2 million a quarter. It's not big either way.
David Pathe: So, we've already taken significant steps to reduce that, beginning last year as production was winding down, and some of that was reflected in the lower operating costs that Steve told you about in the guidance there. There were further steps that were taken and costs that do go away with the actual expiration of the contract. We do have some legacy admin costs, and it is actually tied in and run collectively with our Power business. But bringing costs in line with the activities there is what we've actually been focused on in the last nine months or so, and that will flow through. So, there will be a significant reduction in that overall admin rate compared to what it is when there was actually an operating business there.
Tony Robson: Correct. Very useful. Thank you.
Operator: And there are no more questions at this time. I would like to turn the call back over to Mr. David Pathe for closing remarks.
David Pathe: All right. Well, I'll be very quick. Thank you once again, everybody, for joining us. As I said, I know there's a lot going on today. And so, we weren't able to have everybody join us today that we would have liked to. But we are around, Joe and Nathan and I, for any questions and follow-up that come out from this and happy to talk to anybody. Beyond that, the next time we'll have a chance to speak to you en masse will be in about three weeks' time. We have – our AGM this year is to be held on May 20. We will look forward to speaking to all of you then. Until then, have a good day. Speak to you soon.
Operator: This does conclude today’s conference call. Thank you for your participation. You may now disconnect.